Operator: Good day and thank you for standing by. Welcome to the Nordson Corporation's Second Quarter Fiscal Year 2021 Conference Call. [Operator Instructions] I would now like to hand the conference over to Lara Mahoney.
Lara Mahoney: Thank you. Good morning. This is Lara Mahoney, Vice President of Investor Relations and Corporate Communication. I'm here with Sundaram Nagarajan, our President and CEO; and Joseph Kelley, Executive Vice President and CFO. We welcome you to our conference call today, Tuesday, May 25, 2021 to report Nordson's fiscal 2021 second quarter results. You can find both our press release as well as our webcast slide presentation that we will refer to during today's call on our Web site at www.nordson.com/investors. This conference call is being broadcast live on our investor Web site, and will be available there for 14 days. There will be a telephone replay of the conference call available until Tuesday June 1. During this conference call, references to non-GAAP financial metrics will be made. A complete reconciliation of these metrics to the most comparable GAAP metric was provided in the press release issued yesterday. Before we begin, please refer to Slide 2 of our presentation, where we note that certain statements regarding our future performance that are made during this call may be forward-looking based upon Nordson's current expectations. These statements may involve a number of risks, uncertainties, and other factors as discussed in the company's filings with the Securities and Exchange Commission that could cause actual results to differ. Moving to today's agenda, on Slide 3, Naga will discuss second quarter highlights. He will then turn the call over to Joe to review sales and earnings performance for the total company and the two business segments. Joe also will talk about the balance sheet and cash flow. Naga will conclude with high-level commentary about our enterprise performance as well as our updated fiscal 2021 full year guidance. We will then be happy to take your questions. With that, I'll turn to Slide 4, and hand the call over to Naga.
Sundaram Nagarajan: Good morning, everyone. Thank you for joining Nordson's fiscal 2021 second quarter conference call. Throughout fiscal 2020, we remained invested in what makes Nordson strong, our direct sales model and innovative position technology portfolio. We also advanced our new NBS Next growth framework, which ensures we focus our resources on the best opportunities for profitable growth. This strategy has positioned us well last year, and as the recovery continues to accelerate in 2021, it has put us in an excellent position to respond to our customers and deliver record sales, gross margin, operating profit and EBITDA during the fiscal 2021 second quarter. As the quarter progressed end market demand accelerated faster and to a greater degree than we originally anticipated, particularly in medical, electronics and industrial end markets. Nordson's dispense applications in the Industrial Precision Solutions segment benefited from the pickup in industrial end markets as well as the sustained demand for food and beverage packaging. In the Advanced Technology Solutions segment, a data centric economy where increasing demand for semiconductors and complex electronic devices drove the need for our test and inspection and fluid dispense products. We have also started to see recovery in our medical interventional solution product lines as the outpatient surgeries are beginning to increase following the COVID-19 related slowdown. Our medical businesses continues to benefit from accelerated growth of single use plastic fluid components for biopharmaceutical applications. I want to congratulate and thank the Nordson global team for achieving this record second quarter. I'm also proud of our team's dedication to meet this accelerating demand while maintaining COVID-19 safety protocols and effectively managing supply chain and capacity constraints. I'll speak more about the business in few moments. But first, I'll turn the call over to Joe to provide more detailed perspective on our financial results for the quarter.
Joseph Kelley: Thank you Naga and good morning to everyone. On Slide #5, you see second quarter 2021 sales were $590 million, an increase of 11% over prior year's second quarter sales of $529 million. This double-digit growth is more than a bounce back. In fact, as Naga noted, this is a quarterly record for the company, breaking the previous record established in Q3 of 2017. The sales increase was primarily related to 10% organic volume growth, off of a relatively strong Q2 2020 performance. Favorable foreign currency and the net negative impact from acquisitions and divestitures. The benefits from the Fluortek and vivaMOS acquisitions were more than offset by the negative headwinds from the divestiture of the screws and barrels product line. When excluding the divested product line in the prior year for comparability purposes, sales growth would have been 15% in the current year second quarter. Robust growth in electronics and consumer non-durable end markets as well as strengthening medical and industrial end markets were the primary drivers of this performance. From a geographic perspective, growth was strong in all regions except Japan, which has been more heavily impacted by shutdowns related to the pandemic. Gross profit totaled $338 million or 57% of sales in the quarter compared to $290 million, or 55% of sales in the prior year. This 260 basis point increase in gross margin was driven by the combination of improved sales mix, volume leverage and benefits from structural cost reduction measures taken in fiscal 2020. The divested screws and barrels product line at the beginning of the fiscal second quarter was a significant contributor to the improved sales mix. It is noteworthy that a gross margin of 57% is a new quarterly company record. Also records in the quarter were operating profit of $166 million or 28% of sales, a 33% increase from the prior year adjusted operating profit of $125 million and EBITDA of $192 million, or 33% of sales, which is 26% higher than the prior year EBITDA of $152 million. The incremental EBITDA margins were 65% in the quarter. Investors are starting to see the power of the NBS Next growth framework, as it drives double-digit organic sales volume growth, improved sales mix, enhances manufacturing efficiencies, resulting in strong profitable growth. Looking at non-operating expenses, net interest expense decreased $1 million or 17% from the prior year levels associated with reduced debt levels and a lower effective borrowing rate. Other net expense increased $3 million, largely driven by currency translation gains in the prior year that did not repeat in the current year. Tax expense totaled $32 million, or an effective tax rate of 20% in the quarter. Net income in the quarter increased year-over-year 35% to $124 million or $2.12 per share, yet another quarterly company record. This significant growth is reflective of volume leverage driven by the 11% increase in sales as well as benefits from cost control measures and improved efficiencies. Now let's turn to Slide 6 and 7 to review the second quarter 2021 segment performance. Industrial Precision Solutions sales of $299 million increased 6% compared to the prior year second quarter. The organic volume increase of 8% was driven by strong demand and flexible packaging and industrial coating product lines. A strengthening euro and RMB also contributed to a 5% in currency benefit during the quarter. The divested screws and barrels product line was a negative 7% impact on the year-over-year sales growth. It's important to note that the segment sales are north of 2020 and 2019 levels when prior year balances are adjusted for the divested screw and barrel product line. Operating profit in the segment was $104 million, or 35% of sales compared to $77 million of adjusted operating profit in the prior year period. This 36% profit growth was driven by sales volume leverage associated with the 8% organic growth, favorable sales mix, improved manufacturing efficiencies and lower year-over-year SG&A, including reduced travel expense that we continue to experience through the second quarter. Moving now to Advanced Technology Solutions. Sales of $291 million increased approximately 18% compared to the prior year second quarter. This change included an organic increase of approximately 13% as well as increases of approximately 3% related to currency and 2% related to acquisitions. The increase in organic sales volume was driven by strong demand for test and inspection product lines serving electronics end markets and fluid management product lines serving medical and industrial end markets. Also, as we forecasted, on the first quarter call, we started to see the electronic dispense applications contribute to growth late in the quarter. Second quarter 2021 operating profit for this segment was $77 million, or 26% of sales. This increase of 30% over prior year operating margin of $59 million or 24% of sales was driven by sales volume leverage, favorable sales mix and the realization of benefits from cost control measures taken in fiscal 2020. It is encouraging to see the benefits of NBS Next driving the top line organic growth and delivering strong incremental profit margins in both of our operating segments. Finally, turning to the balance sheet and cash flow on Page 8. We again end the quarter with a very strong balance sheet and sufficient available borrowing capacity. Cash totaled $133 million and net debt was $734 million, ending the quarter with a 1.2x leverage ratio based on trailing 12 months EBITDA. Free cash flow in the quarter was strong at $94 million, which was 4% above the prior year free cash flow. Cash conversion and net income was 75% in the quarter, which was below normal levels due primarily to a $50 million discretionary pension contribution. Improvements in working capital efficiency contributed favorably to our free cash flow in the quarter. The year-to-date free cash flow conversion rate remains north of 100%. I will now turn the call back to Naga.
Sundaram Nagarajan: Thank you, Joe. Let's turn to Slide 9. Again, thank you to the Nordson team for delivering this outstanding performance in the quarter. We hosted an Investor Day on March 30 to detail our long-term plans for making a strong Nordson even stronger. If you did not have a chance to participate in our Investor Day, the replay of the event is available on our Web site. Now, I'd like to summarize a few highlights. First and foremost, we describe the strong growth drivers enabling Nordson's future profitable growth performance, including diverse end markets, new applications and emerging markets. While our growth drivers are unique to each of our divisions, the diversity of our end markets and the high-level of recurring revenue made us resilient through fiscal 2020 and our strengthening in fiscal 2021 results. At our Investor Day, we also reiterated our commitment to innovation, one of Norton's key competitive advantages. Our customer intimate model gives us insight to the needs of our customers, and we develop our product roadmap as an enabler of their new technologies. In the presentation, we highlighted two of our newest products, the ProBlue Flex melter for packaging customers, and the new Vantage integrated dispense and automation system, which is the first fully integrated wafer handling system designed for the semiconductor industry. In both cases, these new products are advancing automation, reducing cost and accelerating productivity. Both products contributed to record sales in the quarter. To make a strong Nordson even stronger, we also spoke to the new competencies that we are building, notably the NBS Next growth framework. This data driven framework is driving our decision making. We are already starting to see the benefits of our deployment of NBS Next. Last year, we announced structural cost reductions that were based on our strategic discipline analysis. It also drove our decision to divest the screws and barrels product line at the beginning of the second quarter. Simultaneously, we approved new investments in our top opportunities, such as funding new equipment for our Loveland Colorado facility to grow our biopharmaceutical components, and building a new facility in Mexico to support the needs of our Nordson medical interventional solution products. These decisions are strengthening both our top and bottom line. Since being vaccinated, I have started to travel to our businesses. It is exciting to see the engagement of our teams deploying NBS Next to make data driven decisions on how to delight our best customers or invest in the most innovative technology projects or prioritize top products in manufacturing operations. Turning to Slide 10, NBS Next is a critical pillar of our new Ascend Strategy, which is designed to deliver top tier revenue growth with leading margins and returns. In addition to NBS Next, the other interconnected pillars of the Ascend Strategy are; Owner Mindset, Nordson's entrepreneurial division-led organization and Winning Teams, Nordson's talent strategy. It is also exciting to experience the progress we are making in each of these pillars. We now have all of our division leaders in place, and they are focused on building a deep and diverse bench of talent who will support our long-term growth. The successful execution of the Ascend Strategy will help us achieve our long-term growth milestones of $3 billion in revenue and 30% EBITDA. This target will be achieved through a combination of organic growth within each segment as well as the acceleration of acquisitions. Clearly, the record second quarter, an updated fiscal 2021 outlook demonstrate that we are off to a strong start towards achieving our long-term goals. Now let's turn to our updated fiscal 2021 outlook on Slide 11. As we enter the fiscal third quarter, backlog is strong and trailing 12-week order entry is up double digits about prior year levels across the majority of our product lines and geographic regions. For full year fiscal 2021, we expect sales growth to be approximately 8% to 10% over fiscal year 2020. Excluding the 3% headwind from the revenue of the divested screws and barrels product line in the prior year, our forecasted full year sales growth would be approximately 11% to 13%. Our forecasted sales growth combined with strategic actions taken around efficiency and cost is forecasted to deliver earnings in the range of $7.20 to $7.50 per diluted share. The midpoint of this guidance reflects 34% earnings growth compared to prior year and a 25% increase over 2019 earnings. Our current financial results signify more than the benefits of the recovery. Nordson wins because of the foundation of our precision technology focus, customer centric model and diversified end markets. We are well-positioned to benefit from the recovery, and our products remain a critical solution to our customers through the cycle ahead. Additionally, our management team is fully engaged in advancing the implementation of the Ascend Strategy, which will establish a growth framework entrepreneurial organization and a deep diverse team to drive sustainable profitable growth. As always, I want to thank our customers, employees and shareholders for your continued support. With that, we will pause and take your questions.
Operator: [Operator Instructions] The first question comes from the line of Allison Poliniak with Wells Fargo.
Operator: The next question comes from the line of Saree Boroditsky with Jefferies.
Operator: The next question comes from the line of Connor Lynagh with Morgan Stanley.
Operator: The next question comes from the line of Jeff Hammond with KeyBanc Capital Markets.
Operator: The next question comes from the line of Mike Halloran with Baird.
Operator: The next question comes from the line of Chris Dankert with Longbow Research.
Operator: The next question comes from the line of Matt Summerville with D.A. Davidson.
Operator: [Operator Instructions] The next question comes from the line of Christopher Glynn with Oppenheimer.
Operator: The next question comes from the line of Andrew Buscaglia with Berenberg.
Operator: The final question comes from the line of Walt Liptak with Seaport Global Research.
Operator: I will now turn the call back over to Naga for closing remarks.
Sundaram Nagarajan: All right. Thank you. I want to reiterate that we are well-positioned to benefit from the accelerating recovery, and our position technologies remain a critical solution to our customers through the cycle ahead. Additionally, our management team is fully engaged in advancing the implementation of the Ascend Strategy, which will establish a growth framework, entrepreneurial organization and a deepened a diverse team to drive sustainable profitable growth. Thank you for your time and attention on today's call. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.